Operator: Good morning, ladies and gentlemen. I would now like to turn the meeting over to Scott Parsons, Alamos' Senior Vice President of Corporate Development and Investor Relations. Please go ahead, sir.
Scott R. Parsons: Thank you, operator, and thanks to everybody for attending Alamos' Third Quarter 2025 Conference Call. In addition to myself, we have on the line today John McCluskey, President and Chief Executive Officer; Greg Fisher, Chief Financial Officer; and Luc Guimond, Chief Operating Officer. We will be referring to a presentation during the conference call that is available through the webcast and on our website. I would also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the presentation, news release and MD&A as well as the risk factors set out in our annual information form. Technical information in this presentation has been reviewed and approved by Chris Bostwick, our Senior VP, Technical Services and a qualified person. Also please bear in mind that all of the dollar amounts mentioned in this conference call are in U.S. dollars unless otherwise noted. Now I'll turn it over to John to provide you with an overview.
John McCluskey: Thank Scott. Starting with Slide 3. Before we go into the report for the quarter, I want to acknowledge this has been far from a typical production year for Alamos. We experienced production downtime and lower production in the first half of the year, which we are on pace to make up in the second half. Unfortunately, in recent weeks, downtime at the Magino mill and the seismic event at Island Gold will not give us the time to do so. As a result of these recent events, we've taken the prudent course and lowered guidance for the year by 6% from the midpoint of our original guidance. We have a reputation for taking a conservative approach to guiding the market, and we pride ourselves on providing consistently accurate guidance. Suffice to say, we will continue to make operational improvements to raise the accuracy of our forecasting, recognizing that occasionally, mining can be unpredictable. There remains to be said that while these recent events have a short-term impact, they in no way take away from the quality of our mines and what is without question, 1 of the strongest outlooks in the gold sector. We are already seeing significant improvements this month with better grades at Young-Davidson and throughput from the mines. This will ultimately support lower costs than an 18% production increase, leading to record production in the fourth quarter. Production in the third quarter totaled 141,700 ounces, a 3% increase from the second quarter, driven by stronger performances from Mulatos and Island Gold District. This was slightly below the low end of quarterly guidance, reflecting 1 week of an unplanned downtime within the Magino mill during the last week of September. Reflecting lower costs from the Mulatos district, total cash costs decreased 9% from the second quarter, and all-in sustaining costs decreased 7%, both consistent with guidance. With higher production, a record gold price and lower costs, we delivered record revenue, cash flow from operations and record free cash flow of $130 million in the quarter. We expect a significant improvement in both our fourth quarter production and costs to drive new financial records at critical prices. Turning to Slide 4. Through the majority of the third quarter, we were on track to achieve our full year production guidance. Given the unplanned downtime of the Magino mill in the last week of September and the seismic event at our Island Gold operation in October, we're decreasing our 2025 production guidance to between 560,000 and 580,000 ounces. This represents a 6% decrease from our original guidance released in January. Late in September, a capacitor failure within the Magino mill impacted the electrical drive for the SAG and ball mills. This led to 1 week of downtime and lower third quarter production than originally expected. The mill was restarted by the end of September and continues to demonstrate improvement in October. Due to the unplanned downtime, Island Gold's mill was restarted in late September to focus on processing higher grade underground ore. Given the record gold price environment, we will continue running both mills through the remainder of the year with the increased combined milling capacity supporting additional gold production, higher cash flow and increased profitability. In mid-October, the Island Gold mine experienced a seismic event, which is a normal part of operating an underground mine, no personnel or equipment were impacted and mining rates are expected to continue within budgeted levels. However, it does delayed access to higher grades within one of our mining fronts. As a result, mine grades are expected to be lower than budgeted for the fourth quarter. Even with the lower-than-planned underground grades in fourth quarter, we expect a substantial increase in production from Island Gold District driven by higher combined milling rates. We expect similar increases at Young-Davidson driven by higher mining rates and grades and at Mulatos with the recovery of higher grade ore stacked over the previous 2 quarters. All 3 operations are expected to contribute to an 18% increase in the fourth quarter production at lower cost, driving a further increase in free cash flow at current gold prices. Turning to Slide 5. Short-term challenges we experienced this year have no impact on our strong long-term outlook, which remains firmly intact. The Phase 3+ expansion at Island Gold will be a key driver of our growing production and declining costs over the next several years. The expansion is progressing well and with expected completion in the second half of 2026. The Lynn Lake project is another important part of our organic growth. Forest fires in Northern Manitoba limited our progress on this project this year, but we expect to ramp construction entities in the spring of next year, and initial production is now expected in 2029. This puts us on track to reach 900,000 ounces of lower-cost annual production by the end of this decade. The Island Gold District expansion study currently underway is expected to outline further upside with the potential to increase consolidated production to 1 million ounces per year within a similar time frame. We generated year-to-date free cash flow of nearly $200 million in 2025 and expect to generate growing free cash flow as we execute on this growth. Following the start-up of Lynn Lake, we expect to generate more than $1 billion of free cash flow annually at current gold prices. Now looking at Slide 6. In addition to delivering on our organic growth plans, we continue to surface value from our portfolio of assets. This included announcing the sale of our Turkish development project for a total cash consideration of $470 million. The transaction closed earlier this week and marks a positive outcome, realizing significant value for assets we had written off in 2021. We received $160 million on closing and the remainder, $310 million will be received over the next 2 years. With our strong free cash flow during the third quarter and initial proceeds from the sale of our Turkish assets, our current cash balance has increased to over $600 million. We'll be using the proceeds from the transaction and growing cash position reduced our small debt position, and we expect to be active on our share buyback. We were also recognized for the second consecutive year as a TSX30 winner by the Toronto Stock Exchange for our strong share price performance of 310% over the trailing 3 years. The award is a testament to our long-term track record of outperformance, something we expect to continue to build upon as we deliver on our upcoming catalysts and organic growth times. I'll now turn the call over to our CFO, Greg Fisher, to review our financial performance.
Greg Fisher: Thank you, John. On to Slide 7, we sold approximately 136,500 ounces of gold in the third quarter at an average realized price of $3,359 per ounce for record revenues of $462 million. The average realized price was below the London PM Fix for the quarter, primarily due to the delivery of over 12,300 ounces into the gold prepaid facility at a fixed price of $2,524 per ounce. We will deliver the same number of ounces in the fourth quarter, after which the prepay obligation will be completed. As a reminder, the prepaid facility was executed in July 2024 with the proceeds utilized to retire 180,000 ounces of forward sale contracts inherited from Argonaut Gold across 2024 and 2025 with an average price of $1,840 per ounce. Based on an average gold price of almost $3,000 per ounce since July 2024, the company increased cash flow by approximately $40 million over that period. given the decision to buy out the 180,000 ounces of hedges 15 months ago through the execution of that prepaid facility. Quarter-over-quarter, total cash costs and all-in sustaining costs decreased 9% and 7%, respectively, and both were in line with quarterly guidance. We expect total cash costs and all-in sustaining costs to decrease a further 5% in the fourth quarter, driven by higher production across all operations. We remain on track to achieve full year cost guidance, which was revised earlier in the year. We are now reporting total cash costs and all-in sustaining costs, excluding the impact of mark-to-market adjustments for the revaluation of previously issued share-based instruments. This methodology provides a better representation of our total costs associated with producing an ounce of gold and eliminates volatility associated with mark-to-market adjustments. These mark-to-market adjustments to long-term instruments impact both total cash costs and all-in sustaining costs, given the company allocates these costs to mining and processing costs and share-based compensation expense on the income statement. Our reported net earnings were $276 million in the third quarter or $0.66 per share. This included $193 million reversal of a previously recognized impairment related to the Turkish projects as well as unrealized losses on hedge derivatives, foreign exchange impacts and other adjustments totaling $72 million. Excluding these items, adjusted net earnings were $156 million or $0.37 per share. Operating cash flow before changes in noncash working capital was a record $275 million in the third quarter or $0.65 per share. Capital spending totaled $135 million and included $35 million of sustaining capital, $83 million of growth capital and $17 million of capitalized exploration. Our consolidated 2025 capital guidance has been updated to between $539 million and $599 million, a 10% decrease from previous guidance, primarily reflecting lower spending at Lynn Lake with the ramp of construction activities shifting to 2026. Free cash flow for the quarter totaled a record $130 million, a 54% increase from the second quarter, driven by record contributions from all 3 operations. This includes $73 million from the Mulatos District, $72 million from the Island Gold District and $62 million from Young-Davidson. Our cash balance grew 34% from the end of the second quarter to $463 million. Subsequent to quarter end, we received initial cash payments totaling $163 million from the sale of both our noncore Turkish development projects and the Quartz Mountain project, bringing our total cash position to over $600 million currently. Combined with the undrawn balance on the credit facility, our total liquidity is over $1.1 billion. We expect growing production and declining costs to drive increasing free cash flow over the next several years while continuing to fund our organic growth plans. With a growing cash position, we expect to reduce our $250 million of debt currently outstanding while also evaluating opportunities to buy back shares and eliminate a portion of the remaining legacy Argonaut hedges. I will now turn the call over to our COO, Luc Guimond, to provide an overview of our operations. Luc?
Luc Guimond: Thank you, Greg. Over to Slide 8. Third quarter production from the Island Gold District totaled 66,800 ounces, a 4% increase from the previous quarter. A more substantial increase is expected in the fourth quarter, driven by an increase in combined milling rates from the Island Gold and Magino mills. Magino's milling rates continued to increase through the third quarter until the last week of September, when a capacitor failure within the electrical house impacted the electrical drive for the SAG and ball mills. This resulted in 1 week of unplanned downtime. The capacitor and electrical drive module were replaced by the end of the quarter, following which milling rates have increased to average a new high in October. Quarter-over-quarter, underground mining rate increased 7% to 1,325 tonnes per day. Open pit mining rates increased 4% to 59,000 tonnes per day, including a 28% increase in ore mined to 17,600 tonnes per day. Grades mined from underground and the open pit were consistent with annual guidance. In mid-October, a seismic event occurred within the underground operation of Island Gold that has delayed access to higher-grade stopes to fill within 1 mining front. Seismic events are not uncommon for underground operations and mining rates are expected to remain within guided levels. However, rates mined in the fourth quarter are now expected to be lower than previously planned. We continue to expect a significant increase in production and decrease in costs in the fourth quarter. However, given the lower expected underground grades and unplanned downtime at the end of the third quarter, production guidance for the full year has been revised lower to between 260,000 from 270,000 ounces. Moving to Slide 9. A number of optimization initiatives have been implemented within the Magino mill over the past year that continue to drive improvements quarter-over-quarter. This included the installation of a redesigned liner and bolt configuration within the SAG mill in July, such that following a liner change and excluding the 1 week of unplanned downtime at the end of September, milling rates increased nearly 10%. With the mill up and running by the end of the third quarter, milling rates have continued to improve in October, approaching 10,000 tonnes per day, a new monthly high for the operation. To minimize potential unplanned downtime in the future and ensure increasing consistency of the operation further review of electrical components was completed to ensure all critical spares have been identified and are on site. Moving to Slide 10. Given the unplanned downtime at the Magino mill, the decision was made to restart the Island Gold mill in the last week of September to focus on processing higher-grade underground ore. Operating the 2 mills will provide additional operational flexibility with increased milling capacity and allow us to capitalize on the higher gold price environment with stronger gold production. The restart of the Island mill provides an additional 1,200 tonnes per day of milling capacity. This is expected to support approximately 3,000 ounces of additional gold production on a quarterly basis, driving increased cash flow and profitability. At current gold prices, this represents nearly $50 million of additional annualized revenue with significantly higher gold prices, more than offsetting the higher processing costs associated with operating the Island Gold mill. We will operate the 2 mills through the end of this year, and we'll evaluate its ongoing operation into 2026 as part of the expansion study. Over to Slide 11. The Phase 3+ expansion continues to progress with the shaft sink now at the 1,350-meter level, 98% of the ultimate depth of 1,379 meters. Work also commenced on the 1,350 level shaft station. The Magino mill expansion to 12,400 tonnes per day is progressing well and is on track for completion in the second half of 2026. Base plant construction is advancing and expected to be completed in the first quarter of 2026. Mechanical and electrical outfitting for the water handling facility and shaft in-house is ongoing and concrete foundation work for the new administrative complex is underway. Over to Slide 12. As of quarter end, we have spent and committed 84% of the total Phase 3+ capital of $835 million. The photos on the right highlight the progress on the shaft sink and 1,350 level shaft station. We expect to be skipping ore from this station in the latter part of next year with the expansion on track for completion in the second half of 2026. Over to Slide 13. We continue to advance the expansion study for the Island Gold District, which includes the evaluation of a larger mill expansion of up to 20,000 tonnes per day. The study is expected to include a larger mineral reserve through ongoing mineral resource conversion with encouraging results from our delineation drilling program supporting a strong rate of conversion and reserve growth. Work currently underway as part of the Phase 3+ expansion to 12,400 tonnes per day is being completed with a larger expansion in mind. This includes sizing the footprint of the new mill building to accommodate additional equipment for a further expansion of up to 20,000 tonnes per day. To ensure all the assays from the recently completed delineation drilling program are incorporated into the expansion study, we have shifted the completion of the expansion study from late this year to the first quarter of 2026. With the larger mineral reserve and higher combined mining and milling rates, we expect the expansion study will demonstrate significant upside to the base case plan released earlier this year. Over to Slide 14. Young-Davidson produced 37,900 ounces in the quarter, similar to the second quarter, reflecting the planned shutdown of the Northgate shaft in the first week of July to change the head ropes. Reflecting the downtime, mining rates averaged 7,300 tonnes per day in the quarter. Given the lower mining rates earlier in the quarter, excess mill capacity and higher grade prices -- sorry, higher gold prices, the low-grade stockpile ore was processed. Mill throughput rates averaged 7,800 tonnes per day in the quarter, a 12% increase over the previous quarter, reflecting the contribution of lower-grade stockpile ore, process grades of 1.79 grams per tonne was 7% lower than mine grades. Reflecting lower mining and milling rates for the first 9 months of the year, production guidance has been revised lower to between 160,000 and 165,000 ounces. Mining rates have returned to targeted levels, averaging 8,000 tonnes per day in September and October and are expected to remain at similar levels for the remainder of the year. Grades mined also increased towards the upper end of guidance in October at 2.25 gram per tonne and are expected to remain at similar levels for the rest of the quarter. Higher mining rates and grades, Young-Davidson is expected to have a much stronger fourth quarter with higher production and lower costs. Mine site all-in sustaining costs decreased in the third quarter, with a further decrease expected in the fourth quarter, the operation remains on track to achieve the full year cost guidance that was revised earlier in the year. Young-Davidson continues delivering strong mine site free cash flow with $62 million generated in the quarter and $160 million in the first 9 months of the year, already surpassing the previous year record of $141 million in 2024. With strong ongoing free cash flow, the operation is on track to deliver well over $200 million for the full year at current gold prices. Over to Slide 15. I Production from the Mulatos District totaled 37,000 ounces in the third quarter, a 9% increase quarter-over-quarter with the operation benefiting from strong ongoing stacking rates and grades and the recovery of previously stacked ounces. This trend is expected to continue with a further increase in production in the fourth quarter as the operation benefits from the recovery of higher grade ore stock in the previous 2 quarters. With higher production expected in the fourth quarter, we are increasing full year product guidance to between 140,000 and 145,000 ounces. Reflecting the stronger production, cost declined in the third quarter and with a further decrease expected in the fourth quarter, the operation is well positioned to meet its full year guidance. The PDA project continued advancing during the quarter. the focus on procurement of long lead items and detailed engineering. Expenditures are expected to increase in the fourth quarter and more significantly into 2026 with the ramp-up of construction activities. Project remains on budget and on track to achieve initial production mid-2027. The Mulatos District generated mine site free cash flow of $73 million in the quarter and $129 million in the first 9 months of the year. It remains well positioned to continue generating strong free cash flow while fully funding construction of PDA. With that, I will turn the call to John.
John McCluskey: Thank you, Luc. I want to reiterate that this has not been a typical year for Alamos and not reflective of our long-term record of meeting or exceeding expectations. Our near-term and long-term outlook remains bright, and with one of the strongest growth [indiscernible] in the sector, we remain confident in our ability to deliver on our guidance. We expect to demonstrate this strong outlook, starting with significant increase in production and decrease in costs in the fourth quarter. I'll now turn the call back to the operator who will open up for your questions.
Scott R. Parsons: We'd like to open up the call for Q&A now, please.
Operator: [Operator Instructions] Our first question is from Cosmos Chiu from CIBC.
Cosmos Chiu: Great. Thanks, John and team. Maybe my first question is on Q4. John, as you mentioned, we're expecting increases to production in Q4. You've given us a range, 157,000 to 177,000 ounces, fairly sizable range, especially for quarterly production. Could you maybe just touch on some of the factors that could lead you to the higher end of that guidance versus, say, the lower end?
Luc Guimond: Cosmos, it's Luc here. I mean just across the operations, as we've touched on, I mean, we're consistently delivering on the higher mining rates with Young-Davidson at 8,000 tonnes per day. The big driver really for the higher gold production also coming out of Young-Davidson in the fourth quarter is related to grade. Based on the mine plan that we have put forward for the fourth quarter, we're expecting to be at the high end of our guided grades of 205,000 to 225,000. So we're at the higher end of that 225,000 area. With regards to Mulatos, it's really a function of -- we've stacked a lot of gold in the first couple of quarters, Q1, Q2 and certainly Q3, and we'll start to see more of that gold production coming off the leach pad in the fourth quarter, which will drive higher production for Mulatos. Island Gold, we continue with similar guided levels of mining rates and certainly, great performance as well through the fourth quarter as expected from Island. So when you combine those 3 catalysts from those operations, that's what's really driving the higher gold production in the fourth quarter.
Cosmos Chiu: Okay. And Luc, since I have you here, maybe -- could you maybe elaborate a little bit on that seismic activity that happened at Island Gold in mid-October. It sounds like it's not a permanent issue. it doesn't seem like it has longer-term impacts but But could you give us a bit more granularity in terms of sort of what happened? Was it in a higher risk area?
Luc Guimond: Yes. I can touch on that a bit. So let me just to emphasize, seismicity is just -- is a natural aspect of occurrence that occurs with underground mining operations. As we extract the ore body through development and production blasting, we're changing the stress regime within the mining environment. In this case, the 1 mining front that was affected with this seismic event, really, the reason that we've been -- that we've had to stop production from that 1 area is due to the fact that from a legislative perspective, we need to have 2 means of egress of the Mine, one being the ramp system and in Island's case, the second 1 is an escapeway between the levels. And with this seismic event that happened within this 1 area, the escape was compromised, meaning it needed some rehabilitation in order to bring it back online. So we're just in the process of doing that. It's not a long-term delay. We would expect to be back in that mining front area early December to continue production in there. So it's not a long-term residual effect as a result of the seismicity. But it is normal course of business. We always have seismic events. Some can be lower levels and some can be higher levels. In this case, it just resulted in some damage to the escapeway, which we're addressing.
Cosmos Chiu: And Luc, these escapeways, more permanent infrastructures. I would have thought that they are built to a standard that can certainly withstand some of these stress regimes. But again, there's other factors as well. I guess my question is, was that unexpected? Has this happened before? And what do you now have in place in terms of -- again, I understand that these seismic activity happens, but what do you have in place now to hopefully mitigate the risk on a go-forward basis?
Luc Guimond: Yes. Look, I mean, I kind of referenced with regards to our ground control management plan and our seismic management plan that we have in place for all of our underground operations. In this case, the ground support continues to develop and change as we get into different mining areas and maybe different elevations of stress that are being seen within the mining operations. So we adjust accordingly with that. We do have a lot of dynamics support in place to mitigate these sort of environments that happen when we do have an elevated stress environment. And in this case, for the most part, I'd say the ground support actually worked as per expected. But just keep in mind, rehabilitation is just kind of also a natural function of an underground operation residually, the scaling activities that occur and some additional ground support requirements as a result of some of these openings being open for a longer term. And in this case, the escapeway being one of those. So it's not uncommon to actually have to go back in and do some rehabilitation. In this case, again, because of the fact that the escapeway has been compromised, we just had to go in and repair that escapeway to be able to resume mining activities within that mining front.
Cosmos Chiu: Great. Maybe 1 last question. As you mentioned, the expansion study for Island Gold is now expected in Q1 2026 versus Q4 2025, in part to incorporate potentially including the Island Gold mill in terms of running it into 2026. But I guess, in the maybe bigger picture. Gold prices are certainly much higher now compared to when you put out the Island Gold, the first phase case study. Is there a bit of a shift in terms of thinking here, in terms of lower grade material can actually now be profitable. So maybe running Island Gold for longer, could increase the overall throughput. And in the end, some of that lower grade ore could still generate cash and overall cash flow is higher. Is there that kind of thinking going on right now, John, in terms of how you're looking at the Island Gold and maybe even broader picture as well as the other operations? And then how would that be incorporated into the year-end sort of reserve resource statement that's coming out? Like what kind of gold price would you look at?
John McCluskey: That's got to go down as one of the longest questions in history, Cosmos. Look, just looking at Island Gold. We envisioned at the time we acquired Argonaut with the idea of integrating both mines, we envision that, that would ultimately evolve into something like a 20,000 tonne per day operation. And we're doing the work right now in order to bring that in front of the market, probably January, early February of next year. That's the time we're aiming for. That's just the optimal rate that mine ought to run at. It means -- it gets to part of your question. For example, right now, we're milling about 1 gram material coming out of the open pit, and we're stockpiling lower-grade material. It's an absolute fact that with the lower cost and the higher throughput rate, I'm not putting anything into stockpile, just putting it all through the mill, that's a much more profitable way to go about it. We'll be able to demonstrate that with the numbers that we'll provide early next year. But the -- you're not double handling or on a combined grade. In other words, mixing in that lower grade material, it's basically running around 0.5 gram, mixing that in with the 1 gram material. We're still running a pretty decent head grade. But you're just doing it all at a greater scale, you're benefiting from the economies of scale and absolutely doing it at a lower cost because there's no double handling anymore. So from the point of view of this bigger mine that we envision at Island Gold, it also envisions roughly 3,000 tons of underground throughput from the Island mine itself. That takes production up over 0.5 million ounces a year, brings costs down closer to that $1,100, $1,200 ASICs, somewhere in that range. The study will define it more precisely. But you can see that -- we're sitting on roughly somewhere between 11 million and 12 million ounces of reserves and resources. That's a really sensible approach to take for development of that mine. We can get there with relatively as I put it, bite-size capital cost. It's not a real stretch for us to get it there. And it's sort of the next step in our evolution at that project site. We're not thinking about that at either Young-Davidson or Mulatos. Young-Davidson, it's not really that sensitive to the gold price, to be honest. It's just the way that ore body is. We're mining it in a very profitable way. Obviously, we're generating phenomenal cash flows. And now we've got that mill running very, very well, consistently hitting 8,000 tonnes a day. You're going to see Young-Davidson have a great year next year. Long term at Mulatos, the game changer is going to be going underground and mining a high-grade underground sulfide material and processing it through the mill that we're going to build. That really is the future for Mulatos. I mean it's not like we've run out of targets for finding additional oxide material. It's a big district, and we're still poking around doing greenfields exploration in various areas and actually getting some interesting results. But the main thrust of what we're doing at Mulatos is to transition from heap leach -- low-grade heap leach production to higher grade underground production. So that would -- in the grand scheme of things, that's where we're going. It's not like we're taking this 1 concept driven by a higher gold price and trying to apply it across every operation.
Luc Guimond: The only other thing I'd add there, Cosmos, is just with regards to the 20,000 tonne per day planned for the Island Gold District, but that hasn't unchanged. I mean we're still looking to put that obviously out. We've changed the guidance on that to put it out early in Q1. But it will outline a plan of running the about 17,000 tonnes per day coming from open pit operations, 3,000 tonnes per day coming from underground operations. So that still is the plan. As far as the Island mill, that we're still continuing to run at this point, which we started in September. We'll evaluate that as part of our business plans for 2026. But given this high gold price environment, giving us more gold production, certainly and more cash flow, it may make sense to continue to run that in 2026, but we're still evaluating that.
Cosmos Chiu: Great. Sorry for my extra long question. I just haven't thank Scott Parsons were putting out earnings during Game 5 of the World Series. It certainly has not impacted my performance.
John McCluskey: Sure.
Operator: A following question is from Ovais Habib from Scotiabank.
Ovais Habib: John and Alamos team, a couple of questions from me as well. Cosmos did ask a couple of questions that I had. But just a follow-up to Cosmos' question on the seismic activity at Island Gold. Again, really glad to hear no personnel or equipment were impacted by this event. So that was really good to hear. But in terms of -- and maybe this question is for Luc, in terms of active mining fronts. How many active mining fronts do you have access to at Island Gold as well as how does this impact mine sequencing going into 2026?
Luc Guimond: I mean we typically carry about 3 to 4 mining fronts with the mining rates that we're currently running at right now, Ovais. But I mean, obviously, with the ramp-up as we continue to head towards 2,400 tonnes a day through the course of next year, we will be -- our development will put us into a place where we'll be developing more mining fronts. As I mentioned in this case, we've just basically shifted our focus from this 1 mining front that's been put on hold until we get that escapeway in place and look to generate production from some of the other areas of the mine in the interim. But as I mentioned, it's a short-term issue with regards to the seismic event that happened there, and we're looking to resume the mining in that specific mining front early in December.
Ovais Habib: And just also in terms of when you do get access to additional money fronts, I mean in terms of -- isn't that a mitigating factor on itself going into 2026 then?
Luc Guimond: Sorry, can you repeat that question, Ovais, I didn't quite get it.
Ovais Habib: I'm basically trying to figure out is when you do start increasing the number of mining fronts as we go into 2026 and into the expansion, Isn't that a mitigating factor on itself?
Luc Guimond: With regards to the production profile, it certainly gives us more flexibility. I think is what you're getting at. Yes, it will give us more flexibility as far as maintaining the mining, the rates that we're looking at. But Again, in this case, we haven't changed our guided levels for Q4 for mining rates. It's just that we've had to refocus some of the activity as far as our production for the fourth quarter because of the fact that we've got about a 6-week interruption from this 1 mining front until we get the escapeway we reestablished.
Ovais Habib: Perfect. And just moving on to Magino. With the unplanned downtime at Magino mill, that was, I believe, late September. Were you also able to take advantage of this downtime to do any sort of additional maintenance on the mill as well?
Luc Guimond: We did. But through the quarter, I think we spoke about this with the last quarter release that there was a liner bolt configuration redesign that we actioned in the quarter. So we did that in July. We also had some scheduled maintenance in August for the ball mill. But certainly, with that week interruption with regards to the capacitor failing, which led to the drive module also failing that we had to get replaced. We did take the opportunity to do some other plant maintenance within the Magino mill facility as well.
Ovais Habib: Okay. And just then moving towards exploration. I don't know if the other Scott is online. So can you give us a brief kind of overview of where you are currently focused on the exploration side and especially if you continue to have success on Island Gold West as well as in close proximity to the Magino?
Greg Fisher: Yes, I can provide an overview year-to-date. If you look at Island Gold, I mean, we really did shift our strategy from the start of the year from exploration into delineation and that delineation program now has been completed successfully in the third quarter, both in Magino and in Island Gold, and that really was focusing on converting that inferred mineral base that remains our June update for the expansion study, converting that into reserves. So that process now of the reserve calculation underway with the delineation results coming in or have been received. At Island as well, I mean we'll continue now shifting in the fourth quarter to exploration. So we're drilling Island down plunge. We're drilling the upper portions of Island to the West between Island and Magino. I would say that main Island Gold structure. So that's ongoing. We've also started a Phase 2 drill program at Cline and Edwards, which is building off the success of the first part of the year. That's the [indiscernible] producing mines that are 7 kilometers from the Magino mill. And we're excited about the results that we put out in the first half of the year, and that exploration is ongoing. At Young-Davidson, the hanging wall exploration drift at 9620 has been developed, and we're drilling from that now, and that's focused on defining that high-grade zone in the conglomerate. So we drilled 15 holes there. Our assays are just starting to come in. Drilling is ongoing, and we'll continue stepping out from the zone that we've defined looking to expand on that mineralization. And we're also starting a regional program in the fourth quarter at Young-Davidson focused on our Otisse target, which is only 3 kilometers from the Young-Davidson mill, and we see that as a potential for future open pit ore that could come into the mill at some point in the future. At Mulatos, as John touched on, really focused this year on sulfide exploration across the district and having success in several targets. Building on from the first half of the year, drilling a PDA, continue to expand mineralization at Cerro Pelon, testing a number of other Sulfide targets in that district that the team has worked up, and we're excited by some of the results that we're seeing at Mulatos. And I think that really points to the transition, as John said, from shifting from looking for oxide, which we're still doing, it's still target but really focusing in on building out the sulfide inventory, the high-grade underground components of what could be the future of that district. I guess the last point I'll shift to is Qiqavik, which was the greenfield project in Nunavik in Northern Quebec that we acquired with Orford Mining. That exploration on Qiqavik was executed in the third quarter. We planned on doing 7,000 meters. We did 9,000 meters and really, the objective there was trying to find the source of these high-grade boulders that have been defined across that belt. So we drilled in 5 target areas. Assays are just coming in. But certainly happy that we got -- we accomplished more drilling than we anticipated based on the execution of the program and what we're seeing in some of that core.
Operator: Our following question is from Fahad Tariq from Jefferies.
Fahad Tariq: Just on the Magino mill, can you maybe provide some more color on how you're thinking about the targeted throughput maybe by the end of this year. I believe it was previously 11,200 tonnes per day and then 12,400 tonnes per day next year. How should we be thinking about that given some of the ramp-up issues so far?
Luc Guimond: Yes. It's Luc here. So similar line of sight. As I mentioned through the third quarter there, certainly, we had some changes to make to the SAG mill with regards to the liner bolt configuration, which we did. Scheduled ball mill liner change and then with obviously the failure with the capacitor in September that put us back a bit. But really starting in mid-July up until that capacitor issue that we had at the end of September, the mill was on a path, that was consistently delivering above 10,000 tonnes per day to that period. And since we've prepared the capacitor figure that we had at the end of September and resume milling activities through the month of October. We've been consistently averaging just above 10,000 tonnes per day as well. So our goal hitting that 11,200 by the end of the year still is intact. Just some more fine-tuning that we need to do between now and the end of the quarter to be able to consistently deliver on that. On the 12,400 scenario longer term, we're obviously working on some of that expansion already. We need more additional equipment at the back end of the mill with regards to the CIP, the leach circuit. The refinery in elution in order to be able to handle the higher gold content coming into the plant. So we're working through that. The other aspect of it is also upfront. The crushing capacity is there, and it's just -- we're still evaluating on the grinding capacity requires potentially a third, third grinding circuit in that circuit to be able to support the [indiscernible]. But we're still evaluating that as part of the overall mill expansion, to be honest with you, and that's part of what will come out early in the new year.
Fahad Tariq: Okay. That's helpful. And then maybe just as a follow-up. So if the Magino mill is able to get to [ 11,200 ] tonnes per day by the end of this year, things are improving. Would that be reason enough not to keep running the island Gold mill?
Scott R. Parsons: I think at these gold prices, Fahad, it's -- I mean, we're evaluating this. But I would think we want as much throughput as we can through and running those 2 mills at these gold prices probably makes sense.
Operator: A following question is from Sathish Kasinathan from Bank of America.
Sathish Kasinathan: Most of my questions have been asked and answered. So maybe a question for Greg. So with over $600 million in cash balance, you indicated that you will be more active in buybacks. How should we think about the cadence of buybacks on a quarterly or an annual basis? Do you have a target run rate in mind? And also, given your growth projects, how should we think about like a minimum cash balance?
Greg Fisher: Yes. Thank you. I mean from a share buyback perspective, we've never put targets in place. I mean, what we always want to do is be opportunistic with respect to that. And we also look at our other needs of capital, whether it's growing the business, whether it's paying down debt. So we're looking at all of those. So I don't want to point to a specific target in terms of the buybacks. But based on the pullback in the share price -- in the gold price that we've seen over the last week to 2 weeks plus the reaction today, we expect to be active on the share buyback. And then in terms of a minimum cash balance. Again, we have lots of liquidity. We have $1.1 billion of liquidity currently. In terms of the current cash balance of $600 million, we want to be active on the share buyback. We want to pay down some debt. We want to evaluate whether we're going to buy back some of the legacy Argonaut hedges. All of those will be sources of capital. But we are ultimately growing the business from 600,000 ounces to upwards of 1 million ounces by the end of the year. So we do need to make sure that we have sufficient capital. But we do have free cash flow as we speak right now. So from a minimum cash balance, I'd say, we probably want to always have at least $300 million -- $250 million to $300 million on the balance sheet.
Sathish Kasinathan: Okay. Maybe a question on Young-Davidson. So it seems the mill has been operating at 8,000 tonnes per day for a couple of months now. Do you think the mill's performance has reached a level that it can continue to consistently operate at this level? And given the current gold prices, is there potential for maybe push -- pushing the mill to a higher run rate?
Luc Guimond: The mill has been performing quite well at Young-Davidson. I mean, obviously, our -- the overall ore production that's come out through Q3 and some of the previous quarters has been more related to giving all of the [ fee ] that we can from the mining operations. And certainly, in Q3, it was related to the [indiscernible] change that we had to make with regards to the head ropes. But the mill has been performing quite well. It's no issues there. On the aspect of actually looking to see if it can do more, that's something that we've been looking at and seeing with other opportunities to be able to increase the overall throughput through that mill complex. It would not necessarily come from more underground ore. The mine is designed and the infrastructure is designed to support 8,000 tonnes per day. But there's other opportunities with some of the smaller satellite open pit deposits within the region of Young-Davidson that we could look to bring into a mine plan and provide additional mill feed to the YD mill complex with some minor capital requirements to be able to do that. The potential would be to probably get it up to probably 9,000 tonnes per day consistently.
Operator: [Operator Instructions] The following question is from Don DeMarco from National Bank.
Don DeMarco: John and team. Maybe just a quick question on the capacitor incident. What were the root cause of that? And is there a risk of a repeat?
Luc Guimond: The capacitor failure, we're still actually having that analyzed. So I don't have a firm answer on that, but it's not something that you would typically see, to be honest with you. So there could have been a defect within that part itself. I mean we've been running our Island Gold mill complex and our Young-Davidson mill complex for years and have never experienced that sort of failure with a capacitor, but it wasn't just a capacitor. The capacitor failing was part of it, but that led to us some residual damage within the drive unit of the power modules that operates the SAG mill and the ball mill. So we had some other component failure there like resistors and a bus bar and some other electrical components that resulted in some additional Repairs. But this is not a normal course of business. We've never seen this with any of our other operations. So I'd say at this point, it's a one-off, but we still need to do further diagnosis to understand exactly what happened with that capacitor.
Don DeMarco: Okay. look forward to that. And it sounds like the timing of mining...
Luc Guimond: Just the other thing I would add to that is that from a inventory aspects and just making sure that we have all of the parts. We have done another through -- further thorough review of our electrical components for running that plant to sure that we have all of the critical spares that we need just to prevent any sort of significant downtime moving forward.
Don DeMarco: Okay. Then just to my next question, with regard to the Magino mill and combining the 2 ore streams back into that mill, it sounds like it's potentially 2026, maybe later. Seems like there's good reason at this gold price to keep the 1,200 tonne per day Island mill running. But since you've done it before, you've done it once already in July, would the second time round be somewhat routine just with a quicker ramp up?
Luc Guimond: Yes, it's pretty seamless, to be honest with you, to put the both ore streams into the one plant. I think I'd mentioned before, we did a couple of batch tests just to confirm the metallurgy back in Q2, Q3, and that all was validated. And frankly, running that combined ore stream into the Magino mill from really mid-July until we did have that capacitor failure at the end of September. Metallurgically cleared everything was performing quite well, both from a gravity recovery point of view as well as overall recovery. The expectations were as per what we were expecting as far as what we modeled to what we were seeing in the plant. So it's a pretty easy simple transition to just provide that ore feed back into the stream and combine the the 2 streams into 1 feeding into the 1 mill complex.
Don DeMarco: Okay. And then just as a final question. Turning to Lynn Lake development. We see that the time line has been impacted by the wildfires. How about CapEx? Can you give any more granularity on the implications to the CapEx estimates to develop that project?
Luc Guimond: Well, yes, I mean, CapEx-wise, I guess you'll have the inflation component there over the next -- because of the fact that it's been delayed a bit. I think what we've -- we basically lost all of the construction season this summer which is the most productive period that you can have certainly in Northern Manitoba or Northern Ontario, depending on where we're building these operations. So as a result of that, our original time line was mid-2028 now we're moving that out to early 2029. So you're going to have a bit of an inflation factor that gets factored into that.
Greg Fisher: Yes. I mean, just adding to that. We put a study a couple of years ago. So you have 3 years of inflation since we put out that study with this additional year that Luc just commented on moving it out to 2029. And inflation on capital projects is run around 5% to 6%. So we can expect a 15% increase in our capital that we put out in the feasibility study for Lynn Lake.
Operator: There are no further questions registered at this time. This concludes this morning's call. If you have any other questions that have not been answered, please feel free to contact Mr. Scott Parsons at 416-368-9932, extension 5439.